Operator: Greetings, and welcome to Ibotta, Inc. third Quarter 2025 Financial Results. As a reminder, this event is being recorded. I would now like to pass the call over to the management team. Please go ahead.
Bryan Leach: Good afternoon, and welcome to Ibotta, Inc.'s Q3 2025 Earnings Conference Call. With us today are Bryan Leach, Founder and CEO, and Matt Puckett, CFO. Today's press release and this call may contain forward-looking statements. Forward-looking statements include statements about our future operating results, our guidance for Q4 2025, our ability to grow our revenue, factors contributing to our potential revenue growth, and the capabilities of our offerings and technology. All of which are subject to inherent risks, uncertainties, and changes. These statements reflect our current expectations and are based on the information currently available to us, and our actual results could differ materially. For more information, please refer to the risk factors in our recent SEC filings. In addition, our discussion today will include references to certain supplemental non-GAAP financial measures. And should be considered in addition to and not as a substitute for our GAAP results. Reconciliations to the most comparable GAAP measures are available in today's earnings press release and our 10-Q, which are available on our Investor Relations website at investors.ibotta.com. Also, during the call today, we will be referring to the slide deck posted on our website. Unless otherwise noted, revenue and adjusted EBITDA comparisons to prior periods are provided on a year-over-year basis. With that, I'll turn it over to Bryan.
Bryan Leach: Good afternoon, everyone. Thank you for joining our discussion of third quarter results. We are pleased to report revenue in the upper half of the guidance range we provided on our second quarter earnings call, while delivering adjusted EBITDA well above the top end of the range. We are also guiding to fourth quarter results that are broadly consistent with our prior expectations. In fact, when combining our third quarter results with our fourth quarter outlook, our total second half performance is right in the range we would have expected mid-year, both for revenue and adjusted EBITDA. So the business is unfolding about as we anticipated. We have continued to make progress transforming our company into a full-service performance marketing platform for the CPG industry. Our product and engineering teams have been working hard to enhance our capabilities in preparation for greater automation and scale in 2026. At the same time, our recently reorganized and upgraded sales team has improved our infrastructure systems and processes, in order to support a stronger and more consistent go-to-market organization. We expect this will result in better service and greater continuity for our clients, which we believe will be rewarded over time. Within the last six weeks, we have made two major announcements that demonstrate our thought leadership within the industry. First, on September 30, we announced a major strategic partnership with Surcana, a leading provider of media measurement services. This will allow our clients to receive independent lift studies from a trusted third party just as they can for other forms of digital media. Second, on November 3, we announced the launch of LiveLift, our latest groundbreaking innovation designed to help brands drive incremental sales at scale in a cost-effective way. LiveLift represents an improvement over our previous approach to measuring sales lift during a campaign. Initial client feedback on both the Surcana and LiveLift announcements has been overwhelmingly positive, and this has increased our confidence that we are prioritizing the right investments and pursuing the right long-term strategy. To ensure that we are all on the same page, allow me to say a word about our nomenclature. Throughout much of this year, we have spoken about incremental sales, which are sales that would not have occurred otherwise, and CPID, which refers to the cost per incremental dollar that a campaign achieves. Both of these are metrics we use to help an advertiser understand the performance of their campaign. Clients will now be able to receive these metrics using LiveLift, which is what we are calling our latest solution for ongoing measurement and optimization. Going forward, we will no longer be using the word CPID as a shorthand for that solution. The current macro environment continues to present challenges for CPG companies. Many of our larger clients are facing a sustained period of depressed organic sales growth. The University of Michigan Index of Consumer Sentiment is near an all-time low, which may indicate increased consumer pessimism and pullbacks in consumer spending, particularly in lower to middle-income consumers. This, combined with the recent disruption to the SNAP program and ongoing uncertainty related to tariffs, has translated into some large clients taking a wait-and-see approach, which can include pausing spending in what they perceive to be discretionary areas like promotions. Expectations for rigorous measurement have gone up, as CPGs demand evidence of demonstrable ROI across their marketing spend. All of this has further validated the importance of our strategic transformation because it underscores the need for us to move toward the outcomes-based world of performance media where demonstrated returns can lead to increased investment, regardless of the external climate. Ibotta, Inc. is working to position itself as an invaluable strategic partner that can deliver profitable revenue growth at scale. Diving into third-party measurement in a little more depth, our partnership with Surcana will enable CPG brands to compare the purchase behavior of consumers who are exposed to an Ibotta, Inc. offer versus those who are not, allowing advertisers to measure the full impact of their promotional campaigns, including the lift in incremental sales that extend beyond the initial promotional period. Brands will be able to access third-party lift studies and benchmark their Ibotta, Inc. campaigns against other media spend that Surcana already measures using the same methodology. Because Surcana is a trusted name in the measurement space, we believe our announcement helps address the concern that we are grading our own homework. In just a matter of weeks, we have already seen significant interest from clients who want to learn more about this new offering. It has also had an immediate impact in at least one instance. Our first pilot partner decided to launch a new campaign on the IPN after receiving a Surcana lift study. For them, the lack of independent verification of household lift had been a critical gating factor. Once it existed, they felt comfortable reengaging. Our other early pilot partner has also recently relaunched campaigns despite a lack of previously allocated budget. While this end-of-year campaign is relatively small, we have had several senior leadership meetings to start Q4, and we believe we are well-positioned to become a more meaningful part of this client's 2026 plans. Beginning next year, we are not planning to comment on specific clients or campaigns, but rather expect to describe the overall transition of our business to our LiveLift solution. In the second half of this year, we have made it easier for our enterprise clients to pilot LiveLift. For those that do not have incremental dollars to allocate, we are allowing them to use existing budget dollars to make it as easy as possible to try out our latest capabilities. We expect that more and more of our clients will launch pilots over the next few quarters. Not every campaign can benefit from these new capabilities because some clients do not run campaigns that are live long enough for us to measure with statistical confidence. But the vast majority of campaign dollars are eligible. As expected, we have seen an uptick in new pilots since our last call, in part because LiveLift is now being pitched by a larger percentage of our sales team. We anticipate our entire team selling the product beginning in Q1. Several of our clients have now used LiveLift long enough to have clearly seen a positive impact on their business. Just a week ago, I was at Brand Week and did a fireside chat with Benoit Vater, the Chief Media Officer of Liquid Death. In case you have not seen it, you can access a recording on our investor relations site. Benoit spoke to the importance of marrying top-of-funnel advertising with effective bottom-of-funnel tactics. He explained that with LiveLift, Liquid Death was able to drive sales in a much more precise and profitable way. Not only were they able to get their offers in front of customers who were new to the brand, but they also managed to reduce the sales cycle and increase the buy rate for existing customers. Another enterprise client said the following after evaluating the results of their pilot: "LiveLift is not just a tool. It is a powerful commitment from Ibotta, Inc. to deliver data from in-flight campaigns that drive smarter decisions. For the first time, we can analyze our customer segments with the depth needed to see exactly how each group reacts to our promotions. This gives us unprecedented, precise, and powerful ways to grow." It is still very early days, and the number of clients who have piloted LiveLift is small relative to our total client base. Nonetheless, we think these initial testimonials speak to both the unique capabilities we are building and the enthusiasm for clients who have experienced LiveLift so far. Turning to organizational updates, as discussed last quarter, we reorganized and restructured our sales organization in early Q3, which resulted in some additional turnover and account handoffs to start the quarter. With these changes now behind us, we expect greater continuity and improved execution with our clients. I am pleased to report that we have filled all open VP-level sales roles as of the '4. Chris and I are happy with the leadership, talent, and energy coming out of the new organization. Improving our B2B marketing has been a clear focus, and that has resulted in greater emphasis on thought leadership. To cite just one example, Chris Reedy hosted a successful fireside chat at Grocery Shop with Mike Elgass, Surcana's EVP of Global Media, CPG, and Retail, and they talked about the future of measurement and digital promotions. Our sales enablement and training efforts have improved dramatically, which has allowed us to reach out to most of our enterprise clients with the LiveLift offering just within the last few weeks. We have already begun to see improvement in several of our input metrics, such as average meetings per sales rep, average opportunities generated, and the number of accounts with in-person engagement. Before I turn it over to Matt, let me wrap up by providing a few thoughts on where we are leading the industry in 2026 and beyond. We believe that CPG marketing is entering what we call the outcomes era. In the past, brand marketers have typically relied on market research to develop a specific hypothesis about how to grow their market share. Once they have that working hypothesis, they pitch it internally hoping to secure funding for their program in the annual operating budget. Assuming it gets greenlighted, they execute their plan several months later, often with the help of a media agency. Finally, they measure a campaign's performance using mixed media models, but they have to wait several months to get a readout. Most of the time, these programs are declared a success even if overall sales did not grow as desired. In the outcomes era, CPG brands will start by clearly defining the specific business outcomes they want to achieve and allow AI-enabled systems to help them find the most efficient path to reaching those goals. For example, they might target a certain number of dollars of incremental sales or a certain percentage increase in market share within a given quarter. From there, they will provide any constraints, such as the acceptable cost per incremental dollar for the program or the duration of the program. Once these parameters are defined, machines will begin testing multiple different hypotheses, all at the same time and at much lower cost. By optimizing program parameters along the way, the best tactics will be emphasized while the underperforming ones will be weeded out. This is how AI-enabled systems will ensure that the goal is achieved at the lowest possible cost. This is not a novel idea. It just has not been made available to the CPG industry at scale because until now, ongoing measurement of incremental sales has not been possible for products that are sold in an in-store environment. Without that reliable signal, optimization has been nearly impossible. We believe Ibotta, Inc.'s capabilities, including most recently LiveLift, are changing all of that, helping to usher in a new golden age for promotions, and demonstrating the power of optimization at scale. This will not happen overnight. In 2026, we expect to bring LiveLift to market in a more scaled and automated fashion to our broader client base. This will require patience as clients need time to go through the testing phase, evaluate their results, commission third-party studies, and then ultimately go through budget cycles to allocate more dollars to Ibotta, Inc. Each year, our company decides on a central theme that will organize our work. In 2026, that theme will be "make it easy." We plan to make it easier for our clients to set up and execute LiveLift campaigns, evaluate their results, and optimize their campaigns. We still have work to do to continue enhancing the core features of a best-in-class performance marketing solution both for clients and internal stakeholders. This includes streamlining the process of setting up offers, projecting results, and optimizing campaigns. This is an ongoing iterative process. I am confident that we are on the right track strategically and organizationally, and I am looking forward to bringing more of our CPG clients on this journey with us. As I said last quarter, transformation on this scale is never easy. But I am proud of our leadership and our whole team for confronting the challenges head-on and putting in the work to bring the proven principles of performance marketing to the world of promotions. It is long overdue. With that, let me turn it over to Matt.
Matt Puckett: Thank you, Bryan, and good afternoon, everyone. I am happy to be with you today for my first Ibotta, Inc. quarterly earnings call. I was excited to join Ibotta, Inc. at such a transformative moment in the company, with the opportunity to impact the direction and trajectory of the business alongside Bryan and the leadership team, and the chance to work with great people. I have found all of that, and I could not be more enthused to be here. Now let's jump into the results. In summary, we delivered revenue and adjusted EBITDA that were respectively 244% above the midpoint of the guidance range we provided on our second quarter earnings call. Looking further into our revenue results in the quarter, revenue was $83.3 million, a decline of 16% year over year. Within that, redemption revenue was $72.1 million, down 15% year over year, a reflection of the difficult comparisons after a very strong third quarter last year, the previously mentioned lagged impact of some execution challenges, and the continued noisy macro, particularly in the CPG space. Third-party publisher redemption revenue was $49.3 million, down 4% year over year, while direct-to-consumer redemption revenue was $22.8 million, down 31% year over year, as we have continued to see more redemption activity shift to our third-party publishers. Add another revenues, which now represent 13% of our revenue, $11.2 million, down 21% year over year due to continued pressure on direct-to-consumer redeemers. Turning to the key performance metrics supporting revenue, total redeemers were $18.2 million in the quarter, up 19% year over year. We saw healthy growth in third-party redeemers across the IPN versus last year, highlighting the continued strength of the demand side of our network. Growth was driven by the launch of Instacart during 2024 and the launch of offers to a majority of DoorDash customers in the second quarter of this year. Redemptions per redeemer were 4.6, down 28% year over year, driven by the quantity and quality of offers available to each redeemer, as well as the growth in third-party redeemers, which have a lower redemption frequency as compared to our direct-to-consumer redeemers. Redemption revenue per redemption was 87¢, flat year over year. Now shifting to the cost side of our business, as anticipated, non-GAAP cost of revenue was up $4.8 million versus a year ago, driven by an increase in publisher-related costs. This resulted in a Q3 non-GAAP gross margin of 80%, down nearly 800 basis points year over year but up 30 basis points sequentially. Non-GAAP operating expenses were down 1% versus last year and slightly below our expectations due to the timing of spend between the third and fourth quarters and modestly lower labor costs in the quarter. This resulted in non-GAAP operating expenses being 61% of revenue, an increase of approximately 870 basis points year over year due to the lower revenue, and flat sequentially versus Q2. Within that, non-GAAP sales and marketing expenses decreased by 6%, non-GAAP research and development expenses decreased by 16%, primarily a result of higher capitalization of software development costs and more of the R&D costs being categorized in cost of revenue in the period as compared to last year. Lastly, non-GAAP general and administrative expenses increased by 19%, reflecting higher professional fees and temporarily higher facilities costs. It's important to note that while overall non-GAAP operating expenses were slightly down year over year, our investments in areas related to our transformation, inclusive of both the P&L and what is being capitalized to the balance sheet, were actually up approximately 11%, headlined by higher labor costs in sales and technology. We delivered Q3 adjusted EBITDA of $16.6 million, representing an adjusted EBITDA margin of 20%. Adjusted net income of $16.3 million and adjusted diluted net income per share of $0.56. Our adjusted net income excludes $12.6 million in stock-based compensation and $400,000 in restructuring charges, and includes a $1.8 million adjustment for income taxes. We ended the quarter with $223.3 million of cash and cash equivalents. In Q3, we spent approximately $38.7 million repurchasing approximately 1.4 million shares of our stock at an average price of $26.73. We had 28.3 million fully diluted shares outstanding at the end of the quarter, and as of the end of the quarter, we had $89.9 million remaining under our current share repurchase authorization. Turning to Q4 guidance, we currently expect revenue in the range of $80 million to $85 million, representing a 16% revenue decline at the midpoint. And we expect Q4 adjusted EBITDA in the range of $9 million to $12 million, representing about a 13% adjusted EBITDA margin at the midpoint. With that, let me provide you a little more color on the fourth quarter outlook. While we are encouraged by the larger number of clients piloting LiveLift, we expect that it will take some time before this starts to meaningfully impact our top-line results. And while we have outperformed on the cost side year to date, it's important to recognize we have several million dollars of seasonal marketing expense which will be incremental in the fourth quarter relative to the third quarter, and we will now be more fully staffed for the entirety of the fourth quarter across the sales organization. Finally, I'll share some early thoughts on 2026. We did not see our typical seasonality throughout 2025, but we would expect 2026 to more closely resemble the seasonal patterns of prior years, with both the benefit of improved sales execution and the ongoing success of our business transformation beginning to more clearly show up in the results, particularly as we move into the 2025 to Q1 2026, followed by sequential increases in revenue each quarter thereafter. From a cost perspective, we expect to continue to invest in areas critical to our transformation, but at the same time, we remain disciplined and continue to optimize our cost structure. One area I'd highlight where we will lean into growth investments is in third-party measurement. We expect to purchase for our clients a significant number of third-party lift studies from our measurement partners, subject to certain financial thresholds and program requirements, to independently validate the incremental lift of our platform. We view this as an upfront and transitory investment that is necessary in the early days of any kind of new ad platform. We do not yet know how many of these studies we will purchase on behalf of our clients, but we are estimating several million dollars worth. And frankly, we'd be happy if that number is on the higher end of our estimates. We expect to exit 2025 with a healthy balance sheet, and that coupled with continued free cash flow generation gives us flexibility to both invest in the organic growth and transformation of our business and return cash to shareholders. And both will continue. It's an exciting time at Ibotta, Inc., and as Bryan said, we are confident that we are on the right track and making good progress on our transformation journey. I look forward to sharing more about our expectations for 2026 when we speak again in February. I'll hand it back over to Bryan to sign off.
Bryan Leach: Thanks to everyone for joining us on this call. A special thank you to our investors who believe in the new paradigm we are introducing and whose patience we are working hard to reward. With that, operator, let's please open up the call for Q&A.
Operator: For today's Q&A session, we will be utilizing the raise hand feature. If you would like to ask a question, click on the raise hand button at the bottom of the screen. Once prompted, please unmute yourself and begin with your question. We ask that you please limit to one question and one follow-up. We will now pause a moment to assemble the queue. Thank you. Our first question comes from Ron Josey with Citi. Ron, your line is open. Feel free to unmute and ask your question.
Ronald Victor Josey: Perfect. Thanks for taking the question. Bryan, I wanted to understand LiveLift a little bit more. Very helpful to see all of the insights and early results, but talk to us about the timeline. I think I heard the sales team that's now fully staffed will start to fully sell it in the first quarter. And then, yeah, I think you also talked about some time that goes from trial or setting up to trial to when budgets are all results and then budgets allocated. So would love your thoughts on just how you think the year progresses here. Would the timeline, what could cause the timeline to be accelerated, I guess, is question one. And then just a quick follow-up on macro. Matt, you mentioned some of the CPG sort of headwinds here. Love your thoughts on what you're seeing currently. Thank you.
Bryan Leach: Thanks, Ron. Appreciate the question. So I'll take your first question regarding LiveLift progress timeline. Kind of puts and takes on what to expect in the coming year. So we are very pleased with the progress that we have seen so far. As you know, we said in the last call we would be hoping to be on track to have about 20 LiveLift pilots take place before the end of the year, and we are on track to do that. To put that in perspective, we have more LiveLift pilots happening right now than in the first, second, and third quarter combined. We've also seen that of the subset of those that have finished the program, gone through the evaluative process, 83% have already re-upped with campaign investments after the pilot, and the remaining program, we just haven't heard yet. So very encouraged both by the velocity of these pilots and also by the quality as evidenced by the hard data. As far as part of the drivers of the timeline, for one, we've expanded the aperture of people that are able to are trained to sell this in. So what was a much more controlled process with a select few clients, we've now gone out to the great majority of our enterprise-level clients. And that's happened just in the last few weeks, as I mentioned. That's going to mean that we can have many more simultaneous conversations about the solution than we've had in the past. In terms of what the timeline is, you're talking about outreach, then you're pitching them on the benefits of this new solution, then you're setting up the parameters of the pilot, running the pilot. That generally takes, you know, a couple of months at a minimum. And then you have a time period of evaluation. There might be a third-party lift study. There might not. And then there's this conclusion that they want to invest further in the solution. And, you know, then there are considerations relating to their budget cycle and whether or not we can do that out of cycle. It depends on their fiscal year, etcetera. That's sort of the arc of what we've seen over this first year. And I've mentioned that that can take up to twelve months because all those steps I just mentioned. You know, things that could accelerate that, obviously, the performance of the campaigns being good is, all else equal, a really encouraging thing that causes people to say, how do I get more of this? We've seen that happen already. People saying, wow. This is something I can do with much shorter lead times. And they realize this can be used to close gaps. That can cause them to say, give me a proposal right away. And I think just the more we put out news about things like LiveLift and about Surcana, the more we're going to get people talking about it, inbound interest, we started to see that. So I think that could be a tailwind perhaps in 2026.
Matt Puckett: Yeah. And, Ron, relative to your question about the macro and the comments that I made there, I don't think we're breaking any news here. I mean, it's been noisy. And in fact, maybe it's even more noisy right now here in Q4 when you consider tariffs or continue to impact particularly for us at the ad revenue space, but generally speaking, tariffs are impacting. You know, consumer sentiment is quite low, I guess, maybe even historically low. Now we're dealing with the disruption of SNAP benefits. You know, so just generally a lot of macroeconomic uncertainty. And clients, our clients are taking, generally a wait-and-see approach and that filters to us as well. That's really the point we're making.
Ronald Victor Josey: Thank you, Bryan. Thank you, Matt.
Operator: Our next question comes from Nitin Bansal at Bank of America. Your line is open. Please unmute and ask your question.
Nitin Bansal: Thank you for taking my question. So AI is increasingly becoming a core driver of performance outcomes. Can you elaborate on how you are integrating AI within the platform? What tangible improvements have you seen so far? And looking forward to 2026, where should we expect, like, the highest AI benefit for your platform? Thank you.
Matt Puckett: Thanks, Nitin.
Bryan Leach: Yeah. So I think, you know, there are a couple of different places and ways in which we're incorporating AI, particularly machine learning when I say AI. You know? So one of the most important is in how we use AI to model the pre-campaign as well as the in-flight projections of how many incremental sales and what the cost per incremental dollar will be for a given campaign. That's powerful. That gives us the ability to crunch a large amount of data and kind of come up with a set of recommended parameters for that offer that we think are more likely to achieve the goal that our clients tell us that they have. From the outset. That's something that we will continue to refine and iterate on over time, and that will, you know, AI will be an important part, not just of projections, but ultimately of optimization, recommendation, etcetera. That's kind of in the core product itself. As you think about the processes we use internally to configure and launch offers, we use AI across a variety of solutions to make that more efficient. So to use one example, we recently launched our first agentic solution in-house which is reducing the time we spend on setting up campaigns by finding the appropriate UPCs, uniform product codes, that need to be included in each campaign, and that's reduced that setup time by approximately 50%. So those are some examples of how our processes and our product itself are going to benefit from AI going forward.
Nitin Bansal: Thank you.
Operator: Our last question comes from Andrew Boone. Andrew, your line is open. Please unmute and ask your question.
Andrew Boone: Thanks for taking the question. Bryan, I wanted to go back to one of the themes you talked about on the call in terms of just making things easier. You just speak to the roadmap and what that entails, and what gets you most excited about just reducing friction across the platform?
Bryan Leach: Thanks, Andrew. Yeah. Look. We've talked about some of the execution opportunities that we've had over the last calls. In going out and talking to our clients and our partners, we've heard consistent feedback. It is not as easy as it needs to be to work with you. That might be a matter of we haven't had continuity in the sales rep. Somebody who understands our business and is working hard, you know, to anticipate opportunities. To use your solutions to benefit our business. It might be something as mundane as, you know, we have a difficult time with the billing or the invoicing aspect of working with you. You need to clean that up. You need to make that easier. But it's also just a matter of creating a set of tools and solutions that are really easy to kind of speak their language. Right? So instead of speaking to them about metrics that ultimately aren't what they're accountable for, like, for instance, clips, or even the pacing of their campaign, to be able to speak directly in terms of incremental sales, directly in terms of market share gain that we think we can deliver, and, you know, compare our costs directly to their profit margin. That makes it much easier for them to go to their internal teams, their finance teams, and get approval. Then there's also just the process of selling. So for our sellers to be able to execute before, during, and after the campaign, means we have to be able to automatically and accurately generate these campaign projections very quickly. So if you have a really exciting sales meeting, it's easy to come back to people and say, Here's what we're proposing. Here's what we think it will deliver. These are the ranges we think we'll be in. We're doing that today, but that process needs to become more automated, less manual. And that'll help our sellers. Same thing during the campaign. Being able to provide that readout, be able to provide it ever more frequently over time. More accurately. The more data we have to feed these models, the more accurate they'll become. And then turning around standardized reporting after the campaign in a way that's very turnkey and doesn't require us to pull in a number of different client analytics resources. Those are all things that I think sellers here at Ibotta, Inc. are incredibly excited to see. These are all investments that we think are going to delight our clients and improve our overall go-to-market motion.
Andrew Boone: Thanks. And then, Matt, I wanted to ask about 2026. As we think about some of the new merchants that you guys have added and lapping those ads in 2026, how should we be thinking about third-party redeemer count in a go-forward basis in terms of next year? Thank you.
Matt Puckett: Yeah. I think, you know, we certainly are not going to get real specific about 2026 from a guide standpoint. But, you know, I think we have we aren't factoring in any increases in publishers from a networking standpoint. So I think you could assume that that's going to be relatively stable across time. The things I think is really important to remember, though, that we're really driving the business through a significant transformation. And at the same time, we're recovering from big execution challenges that's plagued us over the last few quarters. And a large-scale sales reorganization. So while we're not guiding for 2026 today, really across the P&L or certainly not any of the inputs to that, we did think it was important to provide some shaping. So that's what we did in the prepared remarks around expecting more normalized seasonality, leading from Q1 through the balance of the year, but really importantly understanding that from Q4 to Q1, Q4 2025 to Q1 2026, we'd expect to see as much as a low double-digit decline in revenue.
Bryan Leach: Yeah. I'll just add that, you know, redeemer growth is ultimately a function of improving the offer content on our network. And so we're working very hard to do that so that we can both increase the overall number of redeemers and the redemption per redeemer. On third-party publishers to your question, and on D2C. I think both of those factors are very important, and we're starting to see the LiveLift solution increasing investment, and increasing the breadth and quality of the brands that are on the network, you know, even as some of these are still small dollar numbers. So for example, recently, one of our partners, just as recently as last week, said on their earnings call that they were piloting Ibotta, Inc., that they were using performance marketing and incentives, that they had seen promising early results in driving new users and incremental sales across key snack brands and soon formula. That's just one client that's gone public in the last week. You know, we're continuing to see clients contemplate putting in more mainstream brands versus just innovation brands. And so we think that's ultimately going to hit a higher percentage of the basket and increase overall redeemers, to your question.
Andrew Boone: Thank you.
Operator: Our next question comes from Stefanos Chris at Needham and Company. Your line is open. Please unmute and ask your question.
Stefanos Chris: Hi. This is Steph calling in for Bernie McTernan. Thanks for taking our questions. Kind of maybe a different way to phrase the last question, but could you just talk about the contribution from Instacart and DoorDash in the quarter and maybe how to think about that going into next year? And then you said the majority of DoorDash customers are using Ibotta, Inc. How does that get to all DoorDash customers? Thank you.
Bryan Leach: Yeah. Thanks, Steph. Appreciate it. Say hi to Bernie McTernan for me. We are pleased with the momentum of our partnerships with both Instacart and DoorDash. You know, we've made progress there this year in terms of improving the functionality at DoorDash. They were taking a cautious approach growing, to make sure that there's no impact on their core, you know, user experience. And I think, you know, they've satisfied themselves to a great extent that this point, you know, to the extent it's not truly 100%. It's a very small holdout at this point. Not worried about functionality, but and that's just to keep an eye on any long-term unintended consequences of having this content. But we are pleased with how those performed. We've also added beer, wine, and spirits in the jurisdictions where that has been possible, the 13 or so states where that has been possible. In those environments. And so, you know, we continue to grow both those channels. You heard that we've grown redeemers year over year. You know, substantially, and those have been a big part of how we've achieved that.
Stefanos Chris: Got it. Makes sense. Thank you.
Operator: As a reminder, if you would like to ask a question, click on the raise hand button at the bottom of the screen. Thank you. That concludes the Q&A section of the call. I would now like to turn the call back to management for closing remarks.
Bryan Leach: Thanks very much to all of you for your questions. We are excited about where the business is heading in 2026, and we look forward to giving you a further report early next year.
Operator: Thank you for joining today's session. The call has concluded. You may now disconnect.